Operator: Good day and welcome to today's VGP Full Year 2024 Results Call. Throughout today's recorded presentation, all lines will be in a listen-only mode. Later we will conduct a question-and-answer session. [Operator Instructions] And now I'd like to hand the call over to your host, Mr. Jan Van Geet, CEO. Please go ahead, sir.
Jan Van Geet: Good morning, everybody on the call and thank you for being here present at our VGP financial results call. I will start immediately with the executive summary. The building, which you're seeing on the picture now is our battery assembly plant in Pamplona. Manufacturing projects have been the main driver of our new rental income in 2024, of which most of them we closed actually in the first quarter. And the one which you're seeing is Mobis Hyundai in Pamplona, which is now virtually finished. I will immediately go to the highlights in 2024. I'm happy to announce a net profit of €287 million, which is an increase of €200 million versus 2023, or 229%. Many of you look at the EPRA NTA while it's up 7% despite the fact that we have paid dividend last year of more than €100 million. And the net asset value growth is 8.4%, up to €2.4 billion. Our EBITDA, and I'm very happy that all of our recurrent businesses have contributed to it very solidly, so the recurring rental business starts to be really important and has contributed €204.3 million to our EBITDA, or an increase of 19%. The development activities, which is in essence where our heart lies because we like to create new things, they contributed €144.8 million, or plus 178%, and the renewable energy starts with more than €8 million of revenue, starts to be really a nice business of which we have €5.4 million EBITDA, which is 236% increase. Despite all the negative rumors on the market, we signed an historic record of €91.6 million of new and renewed leases of which a big part came over the last quarter. Also, the first two months in 2025 have started very promising and that brings our annualized committed leases at the end of the year to €412.6 million, or an increase of 17.6%. Currently, we have 780,000 square meters under construction. Our development pipeline, also there we've heard a lot of comments, but I was very confident the whole time. It's now 80% pre-lets, including what we're going to start up in the next two months. And all of our buildings are now, all of our new deliveries are all certified, and we have chosen to do so from all going forward with at least BREEAM Excellent. We even have a couple of outstanding buildings, which I think we are very alone in the market with that and we have also some DGNB Platinum buildings in Germany. We delivered 584,000 square meters in 2024, which is 94% let. We also have very nice demand for what is vacant at the moment. And despite all the thoughts over joint ventures, we had a record cash recycling of €809 million through four joint venture closings and the disposal of LPM in last year, an absolute record. We're planning to do quite some new transactions also in 2025 with our current joint venture partners. Our photovoltaic capacity grew 53% year-on-year. We also doubled the effective output, the effective income from it. The operational capacity today stands at 155.7 megawatt peak versus 101.8 in December 2023. And so that's an – effectively what we produce on energy has also doubled in 2024. We have a very solid balance sheet, I think, with a gearing ratio of 33.6% versus 40.3% in December 2023 and we have a proportional LTV, which is not a covenant on any of our instruments, but anyway we reported a 48.3% down 5% since 2023. We will ask to our – on our annual shareholders events to approve an ordinary dividend of €90 million, which is €3.3 per share, which is an increase of 12% versus last year. Last year we also did an extraordinary dividend, but compared to the ordinary dividend to normal dividend, it's an increase of 12%. If we go to the summary of the financial results, we see that now we have €7.8 billion assets under management in total and so it's growing steadily. It's there is an increase of more than €600 million over the last year. That's also reflected in the asset management fee income, which is growing very quickly. We have a continued strong growth in the committed annualized rental income. We have this Quo Vadis instrument inside of VGP where we are always making for ourselves, it's not published, our growth ambitions, with the senior people of the group. And we are on spots of what we wanted to achieve and also on spot I think for what we want to achieve in 2025. So our annualized rental income grew with 17.6%. The EBITDA increased with 57% and it's thanks to a really solid performance in all of our business, in all of our business segments. And what is pleasing very much is that the underlying recurrent income is so – growing so very quickly and that puts a really strong foundation underneath of our old business completely. So that's for me it's a very nice and an announced evaluation inside of our business. And as I already mentioned, we intend to propose to the general shareholder meeting the distribution of an ordinary gross dividend of €3.30 per share, which is up 12% versus last year. I shortly go to the market updates. Most of our leases, more than 65% of our leases come out of manufacturing, which is also attendance which you see in the total demand, the others show more volatility. We expect that e-commerce, because we see them coming back a lot, is going to start growing again inside of our portfolio, but VGP is extremely well placed with all of its technical teams. We have 400 employees inside of the group. We're active in 18 countries nowadays. We just signed the last acquisition yesterday in the UK, our first one in the UK, not far from Leicester at the East Midlands Airport. We hope to be able to break ground there soon. And we are extremely well placed, I think, with our experience. We've done so many manufacturing projects over the last year, very bespoke ones, also very nice ones. I will go more into detail later on it, and it's a trend on the market that we see is more and more technical integration inside of our buildings. If we look at supply pipeline, excuse me, then we see that the pipeline is in response to demand for new space, but the logistics space under construction, the share of speculative goes down. It's 36% versus only 20% in our own portfolio. So we are a lot more conservative than the market is today. The land regulations, Europe is really, I love Europe, but it's a mess concerning the regulations on building permit, and that's – it is really a little bit of a break on the development overall. And I want to remind you that we have a very big land bank, which is completely permitted and which – on which we can still construct quite some square meters. You will see the detail of it later on. We have been doing a lot of transactions over the past year. In 2022 when Allianz slowed down a little bit because of the fact that they're an insurance company and they have some regulations and they can't be overexposed to real estate, some of you said that we were not going to do any new deals anymore. Well, we did €2.9 billion transact. We only started really since 2022, out of which we actually recycled €1.8 billion of cash. That's been a lot of portfolio transactions, only portfolio transactions, but it's very pleasant to see that over the last year we've seen some really nice portfolio transactions coming back to the market. And one of the latest examples is our colleague, our American colleague, Prologis, we just did a very nice €500 million transaction in Germany with Union, which I think shows that the market is starting to pick up again and it's time to sharpen our knives to see who is going to win the next race. The European prime yields have stabilized over the last year. You can also see that in our numbers. We will come to it later when Piet brings you the financials, but the yield has remained fairly flat over in our own portfolio. There is no compression yet, but there is also no further big decreases. And there is an improved arbitrate with risk free rates, and so it's more attracting capital to the sector. We also see from the people who talk to us, also the joint venture candidates, that there is a really solid appetite to reenter the market now. On the operational performance, and I try to pick a dynamic picture of inside one of our buildings. First, the leasing activities. As I already said we had a record year in committed rental income, including the joint ventures at 100%. The group has now 418 tenants. It will be more than 420 now. It was 370 at the year end of 2023. They committed annualized leases grew a lot to €412 million, that's €60.3 million of new leases, €8 million of indexation, and then €2.8 million of amendments. People who wanted a little bit more offices or something else, which we've been doing. And then there was €9.2 million of terminations, which because we are more than 98% still leased, we have mainly mostly been able to replace already. So, that brings the committed annualized rental income to [indiscernible]. And that's a new record for VGP in one year, of which the new rental income which we signed last year was actually more than €70 million or it's – yes. The majority of these new contracts signed are within the light industrial segment. It's 65%, more than 65%. And there are some nice examples. I have a little bit more detail, you can see the names here. We always look nowadays, all of our newspaper are full of America, but also in Europe we have some real champions and some real people which are doing fantastic new developments and we try to support them as much as we can as VGP, by doing new projects with them. I will show you a little bit more, but one of the – few of the highlights here. We have Mutti, for example, in Parma. That's not the production, that's a really italic icon, 50,000 square meters. We're doing Isar Aerospace in Munich. We're going to construct a new R&D facility for Opel in Rüsselsheim, which is a very, very exciting new development. We have very modern Rheinmetall now also between our customers along with the [indiscernible], which are also our customer. And so we really signed quite some new lease agreements. The portfolio is still leased on a very long weighted average lease term of eight years, and the total top ten tenants represent only 31% now of committed leases. And also those are spread over more than 20 lease agreements. It's not so that there is, everybody has one lease agreement. Most of them have several lease agreements like in Amazon or Zalando or a Drylock, or a KraussMaffei which is three lease agreements also or Rhenus, all of them have several leases running in different countries. Yes, I'm going to the next slide. And the next slide is a very important one because if you look at our share value, then we are today trading below our net asset value. Now, if you look at the component of what we are really doing, then in December 2023, the net cash generative rental income. So those rental agreements which were already in place and where the building was finished and the people are actually paying rent was €304 million in total, or €194.3 million at share. During 2024, we activated €45.7 million by new deliveries and people who started to pay rent out of that. So that's a 15% increase or €350 million in total, or €240 million at share. So at December 2024, the rental agreements which were generating cash, it's not exactly the same as what we received as cash, but which were already generating cash are €350 million of which €74.6 million sits in our own portfolio and €275.4 million sits in the joint venture. If you then go to the signed leases, which we already signed and are still under construction, and they will become cash generative in the year 2025 for the bulk part, that's another 18% increase or €62.6 million, which will bring our rental income, our cash generative rental income to €412.6 million or €272 million at share. And what has no value in our share price today is our pipeline. And our total rental income potential can still increase on the existing land bank, the one which we have today, not taking into account any [indiscernible] about things which we don't own yet or we don't have under control, can increase still 62% with another €253.9 million, which is the ERV, the estimated rental value of the current vacancy and the development pipeline. And it can bring our rental income to €666.5 million at least, or which is €520.8 million at share currently today with the current joint ventures, if they don't expand anymore, which they are going to be. So this is just a projection in time from this moment on and what we still have. And that is – to summarize it, we have €413 million committed leases with the potential to grow on today's land bank which we own or have completely under control to €667 million. And VGP has a very big focus on expanding further. Already this year we signed some very nice new deals on land. I already mentioned one in the UK, which we closed yesterday, but there are others also in all the countries. We're very much focused on it. So, VGP really is a growth plan. We are all man with a plan, we want to grow. The net rental and the renewable energy income, our share has grown year-on-year with 22%. So I think that’s a solid performance. And if you look at it, that's a 30% of accumulated aggregated growth since 2016. Again, I want to stress that we really are a growth company. And the portfolio is virtually fully let on a long-term basis. For us it's always been, I've never really understood this thing about like-for-like rental growth, et cetera, it looks like as everybody wants to look at an Excel sheet and squeeze the tenant as much as we can. We want to have a very good standing relationship with our tenants over many years and grow with them together. We want to be respectful towards them. We want to try to offer them the best conditions while still having a nice business model, making a nice profit, ensuring that they also have the best possible ways of growing together. I think that's the only way how you can really make a business profitable over the very long time. And so it's also – you can read it in our numbers. Our weighted average lease time stands at eight years. And despite the fact that we are so many years already, but our buildings are an average only four years old. So we've really grown over the last year a lot. And the top ten customers represent 31% of our total portfolio. As I said, they're spread over many, many lease agreements. Yes. On the delivery side, we have some nice pictures inside. I hope you enjoy them. This one is in [indiscernible] in Austria where we have delivered this building to [indiscernible] last year. We delivered 21 buildings which represent 584,000 square meters or €36 million of rental income; 29 lease agreements are in place and it's 94% let. For the remaining 35,000 square meters, we have quite some good demand and we already signed some in the beginning of the year. 100% are rated. We still wrote inside very good, but actually our new policies, we only do excellent. So 97% of what we delivered last year was also BREEAM "Excellent" or better because they've been started [indiscernible]. And if you look at the geographical breakdown, you see that Germany, despite, if you also look into our leasings, everybody is very negative on Germany. I think it's totally exaggerated, because Germany is and remains for us a very important market which is performing very well also in the lettings also today with quite some demands in the pipeline. If we go to the deliveries in 2024, they were tending towards logistics logically because they are the buildings which we leased out in 2022 and 2023. The examples are, for example, the Ahold Delhaize, a very big one, which we did in Serbia. It's a really nice building, state of the art. Also Metro which we delivered there. The pictures which you are seeing are VGP Park in Wiesloch-Walldorf which we deliver to Picnic and Valencia which we deliver to Jysk. Logistics was 68%, e-commerce is slowly coming back with 17% and light industrial was 15%. The portfolio chair, it's grown organically and only organically. And I want to stress that VGP is a company which doesn't buy or it's not its main purpose, but it never really did buy buildings, ready buildings. We think that our capital is better deployed when we develop and we get a lot higher yield on cost. And that's why we are constructing so much. And it has shown really resilient growth, I think. The compounded annual growth rate is 23.2% at share since 2016. As I already said, we offloaded since 2022 when some of the analysts really wrote, we were never going to make a joint venture again, €2.9 billion of gross asset values into new and existing joint ventures since 2022. And we've generated €1.8 billion of net cash, which we mainly reinvested back. We paid back some debt, but we also reinvested it back in our land bank. And going forward, we will keep on doing that. We are very happy with the model and we are very happy with our current joint venture partners, including Allianz, including Deka and including Areim. Our portfolio, we are now in 18 countries. We are a real truly European player and we want to be able to offer to all of our customers solutions wherever they want to go. It's well diversified, predominantly income generating. As I said, Germany is a very important one. But we see now that countries such as France, Italy, Spain and the Eastern European countries also, they are growing faster than the rest. Germany is it's normal because they've been started up and they're coming through true speed now after a couple of years. You always need a couple of years before you have the land bank and the people and the reputation on the market to be able to grow a lot. You will see it coming through now. We have very big plans in all of these countries for the next year to come. And as we already mentioned before, the investment portfolio has grown to almost to €7.8 billion, 9% up in Western Europe. It represents 73% of our total portfolio value as of December 2024, which is still relevant for some of the indexes we are currently in, like the EPRA index, which is one of the main features is also that you are tending towards Western Europe. We are – nevertheless, you have to look at us as a total European player. We are in everywhere in Europe. There are only very few countries missing now, and we feel very comfortable that everywhere we really have a lasting presence and a very good team in place. On the development side, the picture you are seeing is Fuenlabrada, quite impressive with all the highways in the south of Madrid, which we delivered already a little bit before. The portfolio under construction represents €60.4 million of new leases. I will go to the next slide. 34 buildings are under construction, 780,000 square meters. That equates to €60.4 million of annualized leases. So as I already mentioned, the portfolio under construction is pre-let at 80%. And we started roughly 600,000 square meters in 2024, which I said that our normal run rate would always be between 400,000 to 600,000 square meters or more. And so that is what we did. You see Arad in the right picture, and I will come back to it, in Munich, which are now under construction, which are two production facilities. It's also everything which is under construction is very well spread across our geographical footprint, and we aim to construct in all of the countries where we are active in new constructions also in this year. We will see what the market does, but we have quite some nice leasing activity going forward, and we have all the building permits in place, so we can deploy relatively quick in all of these countries, which you see on this chart. We are going to do a new marketing campaign. And which is also around our technical competencies and the things. And I found this one interesting to – because it's an expression of what we are doing. So when Europe wants to lead in tech tomorrow, we start building today. Building Tomorrow Today is a text which we use already for more than a decade. It's part of our DNA that we try to construct things with a view to the future. Our American competitor has now come up with a new slogan, which is called Building Tomorrow Together, which is not only copycat, but in the context of today's development in the world, I also find it quite cynical. I just wanted to say that one. I have some – brought some examples of what we are doing because it's not always easy to understand what VGP does. I know that there is some questions around it. So in Russelsheim, we bought a very big brownfield. It's not always easy to do that because this brownfield has been employing a lot of people over the last 60, 70, 80 years. It's the original Opel site. We bought 75 hectares out of that, and we are going to convert a small part, 10 hectares out of the 75, into a new industrial state-of-the-art R&D facilities for Stellantis Group for their Opel brand also, but also for the other brands in the group. We're going to break the ground in March. And I hope that we will be able to deliver the building as foreseen in the first quarter of 2027. We have a very good relationship with the local authorities, which is the first requisite you need to be able to develop such a new brownfield. We're 10 minutes away from Frankfurt Airport. It's also a fantastic location to do a data center development because on the left side, where there is the chimney, you can also see that there is an own power station, which has a lot of capacity free and where we can implement a data center so close to Frankfurt. This is one of the main things we are working on. I just wanted to give you a little bit of flavor about the things we are working on. What you are seeing here is a render of what we are going to build. So it's a little bit more bespoke than our normal buildings. But then again, it's a very, very, very long-term lease agreement. We're very much looking forward to do this. And we have a 20-year full guarantee from Stellantis for this project, which is now being completely defined. In Munich, we have not only constructed for KraussMaffei and for BMW. And I recommend you to go and take a look at the battery development movie, which you can find on YouTube from BMW. It's a great video, and it's about our – if you do BMW Parsdorf, you will see about what they are doing there. It's really very impressive. But we also have a beautiful and promising new tech company in Europe, which is called Isar Aerospace. They are currently in the final phase of launching their rocket, which is going to transport satellites into orbit. You might call it start-up, but it already exists since 2016. And last year, NATO Innovation Fund stepped inside and gave them a lot of money to develop also the thing for dual purpose. It's a very impressive company. It's a split of the Technical University of Munich, and they have everything really in-house to become a big success. We also did the Pamplona plant, the battery assembly plant for MOBIS, which is a supplier to the European automotive industry with a cheap battery technology. We are far ahead on schedule. You can see Volkswagen is also inside. They are going to use the technology in their third car production plant in Pamplona, where we are constructing this. And then one of the things which I found the most exciting of all, and I really – I know this is a full year number presentation, but I also want to explain you a little bit about what the CEO is doing in his day-to-day life when he's looking at making new deals together with his teams. And if you doubt on this thing, I invite you to go and take a look at the founder of this company, which is Mate Rimac, it's one of the most inspiring people that I've ever seen. He has not only created the Nevera, which is the fastest electrical car in the world. You also should take a look at Bugatti because now he owns Bugatti together with Volkswagen. And the new Bugatti Tourbillon is really state-of-the-art. It’s a little bit inaccessible for most of us, normal humans, but it’s really beautiful. And I think this is really the business of the future, a Robotaxi. It’s a car without a wheel, steering wheel, driving wheel, you just step in and it takes you wherever you want. Also here, there is a fantastic video on YouTube of how it works. And I’ve seen it work with my own eyes in Zagreb. It will be rolling out from 2027 on. We are constructing the assembly plant, which is a standardized building in the inside. It’s very much adapted to what they are going to do. And Verne, the concept as it is, has contracts with 20 big cities in Europe to roll this thing out. We’re always looking at the ones who make a lot of noise, but I am convinced that we also have winners in Europe and that we are working for them. One of the other things which I wanted to show you is in Arad, in Romania, we have in Romania, some of our most beautiful parks at the moment, really very nice, which even the competition is a little bit jealous. And we are constructing there in our VGP Park Arad a production facility for high-precision vacuum valves for the semiconductor industry. Again, Swiss company, fantastic. They are really market leader in the world for vacuum valves for semiconductor industry. And we could not forget, and I want to also say that this is also an industry in which our Flemish EMEC is also writing revolution with its nanochip technology. And we are looking very much forward to do new things in Europe together with these new captains of industry. On the land bank, I will be short, but it’s my main focus. I am always thinking ahead towards the future. And for me, real estate, which is like the name says, a real value is – and the real value is buried in the location for me. So I’m always focused very much on deploying and developing our land bank and adding on to it. On our land bank at current, it’s the owned and committed land bank to support that future growth is as follows. So at the end of 2023, we owned 856 hectares, which were still to be developed. We acquired 70 hectares during 2024. We deployed 117 hectares during 2024, and we sold 72 hectares during 2024. The ones which I sold is the project in Moerdijk, which I am absolutely convinced that we did the right thing because of the concentration of vacant space, which is happening on the place around Moerdijk, very much so. And it’s at one specific location in the Netherlands. We made a very nice profit on it, so we’re happy. So that brings us to the land owned at December 2024 at 738 hectares. We have another 135 hectares committed today, not today because already in January and the beginning of February, we signed quite some new deals, really good deals, which will bring nice profitability in the future. So the land owned and committed at the end of 2024 was 872 hectares, a little bit more than the land owned at the end of last year. And we had another 823,000 square meters under option. So in the land bank as it was owned and committed at the end of 2024, there is more than €3.6 million of future development potential embedded. That’s a bit my story. I’m going to give the word now to Martijn to elaborate a little bit on our renewable energy and on the ESG topics. Both of them are very important for VGP, still ongoing. So Martijn, please be my guest.
Martijn Vlutters: Thank you, Jan. If we look at the renewable energy business, this year we are able to first report it on two of the sub segments. One, as you’re familiar with is the solar energy business. And then I will also explain what we’ve started up on the battery storage systems. First, on the solar energy, Jan already mentioned that the revenues have doubled, which have followed the production, which has doubled year-over-year with 90 gigawatts that we have been able to produce over the full year 2024. That was driven by a doubling of the production in the 12 months prior to that, predominantly. So from the production that came online in 2023 and had the benefit of a full year production over 2024. And was made possible through an investment of €121 million, of which €95 million was related to those sites that are currently in operation. If we look at where we stand now, as Jan said, the total production capacity has increased by 53%. We have almost 156 megawatt peak now available. Translating that to production into 2025, we talk roughly about 130 gigawatts that could be produced, obviously depending on the irradiation driven by the weather and taking status quo on the energy price, that would be roughly €11 million. If you look further on, we also have a pipeline mentioned here on the slide, 97 projects identified. That’s another 90 megawatts, which would be roughly €65 million, €70 million of additional CapEx. Last word, if you look at the amount of photovoltaic systems that we now have installed or that are under construction, we’re talking about 147. And if you look in our press release for the results announcement published this morning, you see that we have almost 280 buildings now built or under construction, meaning we have almost half of our buildings where we have photovoltaic systems being built or already in operation. So that goes a little bit to the eco-efficiency of our overall portfolio. Just very briefly on the battery systems, so we had our first battery contract signed. We expect that the operational – the commercial activity will start in May this year. That’s a 3 – 6.8 megawatt hour battery in Nijmegen. We see additional capacity in Nijmegen that can be installed. The countries that are listed here are those where we see that there’s opportunity to focus on frequency and balance regulation. So it’s basically trading on the grid, but the model will be also to support our tenants and help manage the energy bill for our tenants. It’s actually quite an overall profitable new sub segment. We have 90 megawatt hours of battery capacity currently identified where we’re either in feasibility study or in design, which would be at least a €20 million investment. We will be able to tell you more about this segment in the coming year as we further advance in the rollout, but we are quite excited about the opportunity that this brings both in terms of helping manage the portfolio, helping manage our tenants and being a profitable business in itself. Then on corporate responsibility, a few words before I hand it over to Piet to talk about the joint ventures and the financial results. First of all, as Jan also said, the whole sort of eco-efficiency drive is really important, not just in terms of doing good, but actually because it’s a differentiator also in attracting new tenants. And you see the energy saving that tenants are able to make can really be a differentiator in signing a contract with us. On the left top, you see the EU taxonomy adaptation. We have now over half of our portfolio that we have certified EU taxonomy. I’m saying specifically certified because we’ve asked the DGNB, the German Building Authority to certify those buildings. And that means that’s demographic test, that’s air tightness test. It’s really a tough test to actually accomplish this certification. It’s not just us telling these buildings are compliant. It’s done – gone through a rigid testing. The other point, which we’ve explained on previous calls also is in the bottom of the middle of the slide, the 26% of buildings without gas. This is something we’ve said that’s now part of our building standard. And I think it’s telling that we’ve now been able to achieve that 1/4 of our portfolio is actually using heating without dependency on gas heating. So it obviously helps also manage the energy bills and helps with the performance. Last point on the right bottom of the page, you see the GRESB score, which is the GRESB developer score, where we had a 95 out of 100, which is the highest within our peer group. We’ve also maintained the status in the BEL 20 ESG Index, which is the index of the 20 most sustainable companies in the Euronext Brussels Stock Exchange. With that, handing it over to Piet for the joint ventures.
Piet Van Geet: Thank you, Martijn. Indeed, I have here a very short update on the joint ventures. Maybe a quick word on the picture. It has been mentioned already before. In fact, a lot of things I will say in the next 15 minutes will probably have a lot of touch points on what has been said before already. But the picture that you see here is actually the entire VGP Park Munich, very close to the city center of Munich, just off the Messe on the other exit on the highway. And the building that you see here in a render that is needed to be constructed, that is in fact the Isar Aerospace building. The building on the left is the BMW, where Jan recommended to have a look once on what they are doing inside and all the other buildings approximately are used by Krauss-Maffei and also partly by BMW. So looking very much forward to completing this entire project also and delivering already a first part at the end of this year and then the remainder in the next year. I have the usual slide on the performance of our – basically our cash recycling model. And as you can see, since inception in 2016, when we started with a €580 million of seed portfolio transaction with the first joint venture of Allianz, we have come quite a way, especially the engine has been turned down heavily in the last two years or three years when we transferred almost €3 billion of gross asset value into existing or new joint ventures and also recycled a record after record year in net cash, totaling €1.8 billion since 2022 and in fact €809 million in 2024, which obviously helps us a lot in funding the developments and improving our financial ratios. So the model has proven to work very well. I will continue with the financial performance. I have the usual slide deck on P&L, balance sheet, cash flow and some insights in our debt maturity.
Jan Van Geet: Piet, just I interrupt you. My brother chose this picture because there is a nice sun shining over it, and I think it's very well chosen.
Piet Van Geet: Yes. So starting with the P&L. Let me start with the bottom line, €200 million more profit than last year, up 229% to a net profit of €287 million, but also our profit before tax went from €113 million to €300 million – almost €320 million. As always, there are a lot of parameters, fluctuations going through or transactions going through our P&L, and let me maybe take it to you step by step, and I will touch base also on some of the points that have been said by my colleagues before. But first off, you see that the gross rental and renewable energy income has increased from €69 million to €74 million. This in fact consists out of two components. One is the renewable energy, as just explained by Martijn, and the other is our own gross rental income, which increased 1% year-over-year to €65 million. Of course, you cannot compare this. We have offloaded rental income into JVs. In fact, €49 million of annualized rental income has been transferred into the JVs this year. We did a lot of transactions last year, but we have also been delivering new assets, which start to become rental generating in 2023, in 2024. So you could almost say it's a major coincidence that we have the same in rental income than last year. But of course, some of the portfolio remains on our balance sheet, some is destined to go to joint ventures, et cetera. We'll see also what the future brings. Therefore I think it is maybe more interesting what is the real net rental income, and it's a slide that Jan has shown already before that we – in fact, if you take the rental income, which is on our own P&L, which we still own 100% and what we have in the joint ventures at share, so the 50% approximately that we own in the joint ventures of rental income plus our own, that in fact has increased from €155 million to €192 million, which is an increase of 21%. The renewable energy income growth was €4.4 million last year, €8.3 million this year. It's an increase of 92%. We produced 44 gigawatts last year. We produced 90 gigawatts this year. So it's purely a volume effect that has come into play, very limited on pricing effect, and it is expected to grow further in the future as we will start up more installations in 2025 and have the annualized effect of the installations that have been commissioned in 2024. So bottom line, the net rental renewable energy income, it increased from €63 million to €67 million despite €49 million of annualized income. That's not the effective revenue of that year, but that's the annualized income being disposed into JVs. So that's an increase of 6%. Joint venture management fee income. This is then part of our recurring income that increased from €26.9 million to €32.7 million. Joint ventures have grown. More assets are in. We do the full management of the joint ventures. Our JV partners are essentially silent partners. We do everything from facility management, the property management, the whole asset management, and we get a fee for that. And that fee due to the increased size of the JVs has grown to €27 million, coming from €22.5 million and is expected to grow again in 2025 because we have done some transactions in 2024. You will have – you will see the annualized effect in 2025, plus we intend to do more transactions in 2025. So this is really a nice recurring income that we have, and I expect it or we expect it to increase in the future as well. There is a second part to it. That's the recurring part. There's a second part to it. It's part of the JV modeling is that we do services to the JV, for instance, the tenant or is a change of a tenant, there is some new offices to be built or some replacements to be done. Then we will coordinate these works, and we will get a fee for that. This is a development management income as we reported. That also has increased with €1.3 million to €5.7 million. All in all, it comes to a total of €32.7 million. Then the next line, that's always, of course, the very determining line also into our P&L. And you see it has grown the net valuation gains from €87.9 million to €187 million. €187 million, it is very important to make a clear distinction between what is realized and what is unrealized. Realized, that means we have disposed assets. We did two transactions with RM, one in the first half, one in the second half. We did a number of transactions with Deka in the first half and in the second half. We've sold Moerdijk, the development joint venture in the Netherlands, as Jan was explaining before. All of this and each individual of them resulted in a realized profit, meaning we've sold it at a premium for what the fair value was in our books at the end of 2023. Also the same in 2023, all of the JV transactions we have done, we have always been able to do them at a premium versus fair value for what is in our books. And that amounted to €92.9 million. There is also the unrealized gain part. I see someone – it's okay, which is €94 million. This is also up €65 million, and this is mainly related to the margin that we make on our developments. As explained, we started up €584,000 of which €44,000 in the JV three, so €544,000 in our own P&L. And the majority of this unrealized gain is relating to the margin that we are able to make on these projects in 2024. Next line, and then maybe I need to go to the next slide already, is the admin expenses. There you will see an increase. There are a number of factors that, of course, may require some additional explanation here. First off, we increased our number of FTEs. At the end of 2023, we had 12.5 FTEs less than what we have now at the end of 2024, so 380. Then the €12.4 million increase between 2023 and 2024 is mainly coming then also from an increase on remuneration, mainly also on the long-term incentive plan. This is because we have had a solid profit realization in 2024, which increases the equity and the whole LTP is linked to the growth of the net asset value, and it had an 8% increase this year. So also the LTP increased. On the other hand, there is a depreciation element in the administration expenses. I might be considering ones to maybe isolate depreciations in the next years on a separate line because they become a little bit more material. They are mainly related also to our renewable energy business. They are just at cost on our balance sheet and being depreciated each year. So that's a €2.7 million increase. Then general admin expenses, nothing – it's a mixture of a lot of things, nothing in the – out of the ordinary is €1.8 million increase. And then we have capitalized less on projects of €1.3 million. You will see a similar trend also on the interest. We have also capitalized less interest on the projects. That's everything to do with timing, nothing else. And then we have the next line, the share of net profit from JVs and associates. And again, here there is a very strong increase versus what was the contribution in 2023, where it was effectively a loss of €10.7 million. And now we have €92.7 million. That means that the JVs roughly had €185 million of profit. We have about 50% of share in this profit. So we have €92.7 million share in the profit of the JVs that we own. And that share, you can see in the table below. There it is all detailed. So you see that the JVs at our share had a net rental income increase of €91 million to €122 million. That’s plus 30%. There is, of course, indexation that plays a role, rental growth or conversion of contracts. In total, we had almost 6% also when we switched over contracts year-over-year or a tenant left in the latest active price and replaced by the new one was also a very positive impact, which also translates in the end in more net rental income and also a positive impact on the valuations. And then, of course, we offloaded quite some rental income in 2023 and in 2024, which then results that we have now at share 30% more up to €122 million. Same story or similar net valuation gains. It was a loss last year of €61 million. Now it is a plus of €54 million. So that’s a very strong profit contributor inside of the share of the JVs. In fact, the yields are very stable. The weighted average yield of the portfolio last year was 5.01%, now it’s 5.05%, but the underlying rental income has grown significantly. So the value over the cash flow is bigger, so has increased significantly. Admin expenses are fully flat. Net financial result in the JVs, of course, we have more interest expenses. We have also €294 million at share more debt in the JVs. This is shareholder loans as well as new bank facilities, although the LTV of all of the JVs together is only 31.5%. So it’s in a very healthy state. The increase is just because the JVs have become so much more bigger due to all of the transactions we have done. And then taxes has increased. But again, one is a deferred tax position related to the net valuation gains, which is on your latent gains that you book in your P&L, you will also book a deferred tax that has increased obviously. But the main important element here is what was the current taxation? What have we effectively paid? and that increased €1.3 million to – €1 million to €7.3 million. But in fact, that is the same tax rate as last year. We had a 12% tax rate in 2023, and we see the same in 2024. So all of that together, very solid performance and contribution from our JVs going from a loss of €10 million to a profit of €93 million. I think this is the last – no, I still have one more, but I have here also the statutory result of the holding VGP N.V. – sorry, no, I skipped. I see that. Sorry, I wasn’t reading on the left. So coming back to – so the operating result or the share of net profit from JVs and associates, I just explained. Other expenses, €1.7 million. That was our contribution to the VGP Foundation. And then we have our own net financial result in our P&L, and that went from an expense from €6 million to €2.4 million income, in fact. What’s playing here is that year-over-year, we paid €375 million bonds back in 2023. And in 2024, we repaid one of €75 million, and we raised €135 million from the EIB. Net, we had a €3 million interest expense less. And then what else is a positive contributor is that we had more than €12 million of interest income. There are a lot of downsides from a higher interest environment, but there is one big upside, and that is that we get interest on cash on hand. We have been relatively cash rich during the year. We’ve tried to optimize it as much as possible through term deposits on the shorter and the longer-term, and that has given us an extra €5.8 million of profit versus last year. And then in the end, we had more interest income from the JVs. But as I already mentioned, likewise, on our development costs, we also had a little bit less on the capitalization of interest. If you divide up our P&L into the three segments, which we call investment development and renewable energy, then you can derive an EBITDA from it. As Jan was saying already on the first slide, he was very happy to see that our recurring EBITDA has grown so much from €171 million to €204 million. In fact, he’s happy with all of the EBITDAs, but especially seeing also the recurring element into our business. This recurring EBITDA in the investment, that shows basically a cash EBITDA, and there is no influence whatsoever from valuations. So it shows you the rental income and joint venture fee that we have, and then you have your share in the operating profit of the JVs before any valuation result that brings you in total to €204 million. The development side, there you have on our own balance sheet all the revaluations done and effective realized gains that we have done that brought us an EBITDA of €144.8 million. And then the renewable energy also grew significantly. There is a capacity increase of 53%. There is a revenue increase of 92%, as I explained before. So that translates also in a very good EBITDA growth of 236% from €1.6 million to €5.4 million. Very happy to see these three business segments performing very well. Then brings me to the balance sheet. I can be maybe a little bit shorter here. So you have the investment property, which you could see a little bit in conjunction with the disposal group held for sale because those are all the assets that we carry on our balance that they have a total of €2.1 billion. The completed portfolio that we have on our own balance sheet is €879 million. It’s actually down from €1.1 million – €1 billion, sorry, versus last year. That is because we offloaded so much into JVs. Of course, our assets at share, investment property, as Jan has shown in the beginning on the graph, they have grown significantly to over €5 billion. Under construction is somewhat similar as last year with €579 million of work and development land, €645 million. And this development land thus has a capacity or an ERV potential of roughly €250 million, as Jan has shown on the slide before. We had a CapEx of roughly €568 million. And the portfolio on our own balance sheet, including what’s booked on held for sale, has an average yield of 7.22%. It was 6.22% last year. It’s all due to mix effect, nothing – there was not really any negative revaluation or outspoken positive revaluation on the existing portfolio either. Another big line obviously is our investment in joint ventures. Everything is booked at equity method. So it means in P&L you have one line share in the result of joint ventures. And on the balance sheet, you have one line as your investment in the joint ventures. That’s up €264 million. Obviously we offloaded a lot into the JVs this year, but we have to contribute 50% of the equity that is required for these joint ventures. That was €199 million. Obviously, you have €92.7 million share in the result of the JVs, which increases your participation value. And then there is another €27.7 million. So we had some equity repayments of the JVs. I’ll come back on that in the cash flow. And then we obviously sold Moerdijk, which was also booked out from the balance sheet. Somewhat of a similar story, you see on the other non-current receivables, they went from €566 million to €538 million. The shareholder loans towards the joint ventures, they increased with €97 million. I mean when we do contributions into the JV, it is a contribution of equity and shareholder loans pari passu with our JV partner. Nonetheless, there were cash distributions and they went through interest payments to shareholder repayments and through equity. I’ll come back on it in the cash flow also, but we received €53.4 million from shareholder repayments out of the JVs. Then obviously the LPM was repaid, and there was a €4 million increase relating to the developments on JV 3, that’s the VGP Park Munich. Maybe the last part on the total assets, we have now €4.6 billion. There is almost €500 million or €493 million of cash residing on our balance sheet. It’s a strong increase versus last year when it was €210 million. And on top of this, we have a €500 million – it used to be €400 million. We increased it with €100 million in 2024 of available revolving credit facilities, which are fully undrawn to date. So our available liquidity is roughly or almost €1 billion at year-end of 2024. In terms of the liability side, the shareholder equity went up from €2.2 billion to €2.4 billion. That is a net asset value per share or IFRS net asset value per share of €88. There's very easy movements between the two years because we haven't done any equity raises or whatsoever. So it's only the net profit that has increased it with €287 million and the dividend that has gone up with €101 million. And then on the liability side, you have the total of the non-current financial debt and the current financial debt that went up from €2 billion to €2.057 billion. In fact, it's very easy to be explained. On the current, we have now an €80 million bond that is due in March, and we intend to repay out of existing cash. And last year, there was a bond of €75 million current, which we repaid in July. And on the non-current, it has increased with €135 million for the EIB loan that we drew in February this year. And then of course we reclassified the €80 million bonds to short term. The average cost of our debt at the end of 2024 is 2.2%, coming from 2.1% last year. And as I already mentioned, we increased our available revolving credit facilities. But what is very important to say, is that our ratios or financing ratios and leverages that we have on our balance sheet significantly decreased. So our gearing ratio is now 33.6%, coming from 40% last year. And our proportional LTV, meaning all of our investment property and investment property at share versus the net debt of our own balance sheet and of the JVs at share is now 48.3%, also a significant reduction versus last year and which also reiterated its rating of BBB- in September after their review, and they expressed a stable outlook. This is once more the debt situation. I explained it, I think, all in the – on the previous slide. The only is the bond maturities, which you can actually see on the slide after this one. So but we have €80 million in 2025 and €190 million due in 2026. And then there is the cash flow statement, and then you will see a lot of touching points with what I have said before. You have the cash in the beginning of the year, €210 million and net cash generated from operating activities, negative of €17 million, but there is the interest expense in here for €48 million or €47 million. And then obviously, you have all the cash flows in the investing and in the financing activities. First and foremost is the proceeds from disposal, and that's the joint venture model where we recycle cash when we dispose assets into a joint venture that gave us an €809 million of cash recycling. There is a CapEx paid, €452 million, including €106 million – or together with €106 million loans to JVs, this is basically also CapEx. There are still some development projects inside of JVs, which we are fully taking on our own or financing on our own. And once they are finished, we will do a transaction on them with our JV partner, but this was also a CapEx of €106 million. Then we received distributions by JV. So excess cash which is in the joint venture is being distributed. This is a little bit complex. It's up from €82 million to €85.6 million year-over-year. It is complex because it is paid out through various channels. We received almost €18 million in interest on loans. We received shareholder repayments in capital on the shareholder repayments of €53 million. And then there were equity distributions from Rheingold and Aurora in amount of €14.5 million. All of that together brings it to €85.6 million. And then we also invested some in a development joint venture in Ballarat another €4 million. In the financing activities, we paid out the dividend, that's clear. We repaid the bonds and we gotten the EIB loan of €135 million. All in all, it brings us to a cash flow over the period over the year of €273 million positive versus a negative one of €485 million last year or a cash at the end of the year of €492 million plus €500 million available liquidity line, so almost €1 billion at the end of 2024. And this was a slide I was referring to before, which I thought was coming after the other slide. So again, we repaid €75 million bond and also €3 million Schuldschein. And then we have €80 million of bond to repay in 2025, and then you see €190 million in 2026. And then the difference is that we need to restart repaying on the EIB loan also as of 2026. And then we have an average debt maturity of 3.7 years. I think that was it for me, and I'll hand it back to Jan.
Jan Van Geet: Yes. The last slide, summary and outlook, maybe the most important one. We had a very strong year in 2024. To summarize it, we signed €91.6 million of new and renewed lease agreements, which is a new record for us. A lot of that was also in the last quarter 2024, which demonstrates that the market is still – that there is still demand in the market. Our biggest concern, which we had in the past, the too high cost on land and construction is now fully under control. We are sharper than ever, and we can really create value for money. In our land bank, it's embedded another more than €250 million of rental income, which we aim to develop at an intelligent but diligent pace. I think that VGP is very well positioned with more than 70% of its staff of 400 being engineers, construction engineers and with a lot of experience in nice projects to jump on the manufacturing projects on the re-onshoring, which we now see coming up very, very well. We have great locations for the development of data centers, as I already showed you before, not only one, we have identified more than them. And we are very actively working on the integration of that into our business model. We also remain focused on our ESG targets. Battery energy storage systems are a logical add-on to our photovoltaic business, not only to play on the differences in prices on the energy net, but also to be able to supply energy to our customers, green energy at night when our photovoltaic panels don't generate energy. We have many new projects in the pipeline across all countries. We plan to do a significant number of closings this year with our joint ventures. They are all in the pipeline. We're working on it. And we're thrilled about some iconic developments upcoming where we can unlock the full potential of some very iconic sites. The one you're seeing here is Nijmegen, where we actually have a permit, no nitrogen issue like it is often, and we have more than 20 megawatts of energy power available. We're negotiating with several parties to lease out this very large development of 110,000 square meters, which we still can do. So we hope to be able to do that in this year. We also have some other projects. I just shortly want to mention them, Felici [ph], 13 kilometer from the Eiffel Tower, the R&D facility, which we bought from Stellantis. The demolitions have started, and we have an incredible nice demand. We think we will be able to do a very beautiful project there. It's really top location. Russelsheim, I already showed you, demolition starts next month. Data center is something which we're investing very much inside. In La Naval, the permits are now in place. Bilbao has taken us a little bit longer, but that is the name of the game when you're doing developments. We will also bring on the market Verona, which has now a building permit, and we have lots of demand there. We bought it back in 2016. We only have to pay for it once we have the permits. That's this year. And the advantage of it is that we bought it at an historic low price. So we are going to create a very nice margin on it, for sure, a lot of demand for it. The same goes for Paderno for Moulouz [ph]. And then we have a very nice new park coming in Frankental, where we also have a very iconic new tenant, which we hope to be able to sign and disclose soon amongst very new parks in Eastern Europe. I'm very confident about the future. You can hear it. We have a lot in the pipeline. And we are working a lot on our latest acquisitions, amongst which is the new UK plots. I think it's an ideal time to go now to the UK. You don't need to go there when the market is in upbeat. You need to go there when there is opportunities. And we think that the opportunities are there now. We hope to be able to be breaking ground there still in the first half. I thank you all for being here and support VGP. I am a very happy shareholder. I don’t look at the share price. That makes me unhappy, but I’m a happy shareholder otherwise. And I do believe a lot in the future potential of our company. It is better placed than it’s ever been before. So if there are any questions from your side, we are ready to answer them now. Thank you.
Martijn Vlutters: Operator, you can open the line for questions, please.
Operator: Certainly. [Operator Instructions] Thank you. We’ll now take our first question from Frédéric Renard from Kepler Cheuvreux. Please go ahead.
Frédéric Renard: Hi, good morning. Just one question. You gave an interesting slide on the cash breakdown evolution year-on-year. Something that I see when I look at this slide is that there is no real contribution on cash from your own operation, excluding development. So it’s kind of your recurring earnings, which obviously shows that disposals are still very key. I guess the question is, one, what do you think or when do you think you will generate positive cash flow from your existing activities as those revenue streaming you are showing are growing? And two, maybe can you help us quantify the level of closing that you are contemplating entering 2025? Thank you.
Piet Van Geet: I think you are referring to the first line in the cash flow versus all of the rental income that we are projecting. Obviously, there is a recurring income, and there is effectively cash coming in. As I mentioned on the cash flow, there is also the interest expense that is included there. But obviously, all of the net rental income at share, for instance, which is now €192.4 million at the end of 2024 or over the year 2024 has all generated cash. It has of course been used to either fuel our development machine, either pay out the interest dividends towards the shareholders, et cetera, et cetera. But there is clearly of course a contribution in cash from the recurring business or the recurring EBITDA that you have seen there of €204 million that is basically all going to be translated into cash inside our cash flow statement.
Jan Van Geet: The second question…
Operator: Thank you. We’ll now move to our next question from Marios Pastou from Bernstein.
Jan Van Geet: There was a second question.
Piet Van Geet: JVs.
Jan Van Geet: The JVs, how many closings we are going to anticipating. You can also explain.
Piet Van Geet: Sorry, Frédéric. I didn’t answer your second part of the question. Yes. So we are anticipating a number of closing actually this year with our existing JVs, Allianz also Areim. Areim, it has a development pipeline identified. We have already done two transactions in 2024. We’ve also recycled a record cash of €809 million. Actually, I think we got the same question last year in 2023 on this call, what we thought we were going to do about the JV closings. I think the model is clearly working. But obviously, there are a number of those in pipeline, and you have Areim, which is coming up. There are a number of completion units to be done with Rheingold and Aurora, which we are talking with Allianz about. There is the [indiscernible] which we will need to transact, and we have agreements with Allianz made about in 2024. So all of that is upcoming in 2025. And then on top of that, we are obviously looking into expanding the model further as clearly it has been working very well for us.
Jan Van Geet: Maybe just to add on, we have at least €30 million rental income available now, which we can transfer outside of the perimeter, which is due to be transferred also in this year and which we are planning to transfer also in this year.
Martijn Vlutters: Next question?
Operator: Thank you. The next question is from Marios Pastou from Bernstein. Please go ahead. Your line is open.
Marios Pastou: Hi, good morning. Thank you for taking my question. Actually, can I just follow up on the pre comments about the JVs. I just wanted to check if you’re aiming to stick to your preexisting JV model when you’re doing these discussions? And then just on my main question, can I just ask on the slowdown in the level of development starts we saw over the second half. Can you maybe comment on how this has trended into this year and whether the current demand you’re seeing is supportive of your run rate completion targets? Thank you.
Jan Van Geet: Yes. Thank you for your question. Well, first of all, I think we’ve proven over the years we are doing this JV model already since 2016, and we’ve tweaked it a bit over the years in new negotiations, et cetera, going forward. We’re very happy with what we have today. It’s working very well for us. And it’s also working well for our joint venture partners because it’s always – you have to have a win-win situation. You cannot have a relationship in which one is happy and the other one is unhappy. So I don’t believe in such a relationship. So I think that is well balanced now. We have a lot of experience with it. It’s working well. And we aim to continue to do that. On the demand side, I think we have – you have the general market in which there are asset managers which have a space which is vacant and which they are trying to market and they – that is one part of the business, which is more REIT related. VGP is a very active player inside and jumps on new opportunities and going forward and is taking a look in the market and can swift very easily from going from e-commerce expansion over normal retail, which we also have a lot and which is more and more demanding to the manufacturing, which we have shown. We – if you look at our last year, and everybody has been saying, oh, VGP, we bash it because it’s Germany and it’s not doing well. If you look at it, the biggest contributor in our contracted annual rental income last year was Germany. Among side all the other countries which have done very well, but Germany was the biggest one of all. And if you look at it, they were most active in the second half year when everybody was saying it’s going to slow down. We actually signed more lease agreements in the second half year than we did in the first half year. So I don’t know what you’re talking about. I think that the market is still resilient. I prove it. We have nice numbers. Of course, there is some concern around it, and it’s – we need to run like crazy and to work, but we are on it. And we will – it transfers to our numbers that last year, gentlemen, we signed a record. It was €91.6 million of which €70 million – more than €70 million was new rental income, extra rental income to our balance sheet. We – so among what we have also lost, it’s really – we are still almost 99% leased and what is free is just in transition. It’s not like we don’t have any demand for it. I am very confident that – and we see also we are negotiating a lot of deals at the moment. I am very confident that we can maintain our growth rate as it is also going forward, thanks to the super locations which we have in our portfolio.
Operator: Thank you. We kindly remind you to limit your questions to one question per analyst to allow all – more analysts to ask their questions. And we’ll now move to our next question from Wim Lewi from KBCS. Please go ahead.
Wim Lewi: Yes. Hi. Thanks for the large presentation. I have one question on the green campus and the brownfield, you mentioned that it will start in March and will be finished in the first quarter. Can you give some idea on how – because it’s a brownfield, how that impacts the timing? And on the explanation of the pre letter the difference between 80 and 74, is that related to this anyhow because it’s part of a land bank that can be developed? Then also on the existing R&D facility of Stellantis, will that then shift to this new campus? And will that then be redeveloped? And then maybe as a last part of that question is, can you give an indication of the megawatt power that is available in the power center you described? What kind of potential megawatt data center could you eventually build on that? And also use maybe, I don’t know, if there’s any water available for cooling, if that can help?
Jan Van Geet: Wim, that’s a lot of questions on the Russelsheim development. So indeed, we are going to move the existing R&D facility, which is dating from the 60s, which was still built by GM, to these new facilities where they will have a state-of-the-art latest nice green campus. And the other part, we only bought out of the – it’s very important when you do a brownfield development to take a good look at what you’re actually buying because you have, of course, potential contamination in Germany. You also have the bombings out of the second and the First World War which are still there and which you need to take a look at. We’ve mapped that very, very well, and we think we have it very well under control. And we have a very good relationship with the local authority, which is very important because they need to be – we made actually an agreement with them that we do everything in line with them. So we always go and consult. We tell them on before what we wanted to do. We tell them what we want to do. We also have a very good relationship not only with the local government, but also with the regional government, which you need to be able to develop such a thing at speed. And you will see we only bought it in the beginning of last year, and we are already going to construct this year. So that's, I think a very nice example of how it is a win-win situation inside. On the power plant, the Russelsheim site is a fantastic site. We have a lot of demand for it coming from logistics over production, DC centers, et cetera. We have really a lot of demand because of its central location, and it's very difficult to find nowadays land plots in Frankfurt. We have an existing – so we have an agreement with Stellantis that at the moment when they transfer, they transferred also 50 megawatts of power for us, which we have reserved for ourselves for the normal operations which we are going to do, the green campus, the other production facilities and logistic operations, which we will implement there in the future. We have 50-megawatt power for that and that is, I think, ample to do by experience if we combine it with a little bit of green energy or not a little bit, but all with green energy, some battery backup, et cetera, we have more than enough electricity to do it. For the data center, we have now a dedicated availability of roughly 100 megawatts, which we can double. We are working on it. So together with our local partner to do that and together also with the local authorities because, again we need to do that. And it's a fantastic location not only because there is a power plant there which was mainly used for heating – for generating heat, but it can also very easily generate power. There is also the river, the Main [ph], which is right next to it, which is the ideal source for cooling water. And with the power station we can also take care of cooling technology. So we can also do the – we can also generate cold from that, which makes it actually as an island solution for a data center, I think, the ideal solution in an ideal location. So yes, we have all the ingredients in place. We need to make sure that we make the best out of it. I hope I answered all your questions.
Martijn Vlutters: Next.
Operator: Thank you. We'll now move to our next question from Steven Boumans from ABN AMRO – ODDO BHF. Please go ahead.
Steven Boumans: Hi. Good morning and thank you for taking my question. Hi. Thank you for taking my question. Can you hear me?
Martijn Vlutters: Yes.
Jan Van Geet: Yes.
Steven Boumans: Could you please comment on the amount of euros and months of lease incentives you offer and how that relates to the past and whether that relates mainly to existing or new tenants?
Jan Van Geet: Lease incentives. We have always been very careful with giving too much lease incentives because it's penalizing us a lot in our trading in our joint venture vehicles. When you look at our joint venture vehicles and we do a transaction with them, of course they don't pay for the rent freeze which you give and for the incentive which you give. So we try to limit it as much as we can to what the market is in general accepting. We are not doing any crazy things. So if we have a normal 10-year lease, we will maximum give 10 months of rent free, and that rent-free is mostly then or six months of rent free, and that is mostly then used also to do some of the extra works which we have inside so that we have actually immediately income-generating assets when we deliver them. That is our main purpose what we are looking at. There is nothing extreme inside it.
Piet Van Geet: And it also hasn't evolved differently, I would say. Because I think you were also questioning this, did we do any change to give larger incentives or something to tenants whatsoever? That's not the case. I think what is market practice one, two, three year ago is still the same today. Obviously, you try to minimize it and optimize it as much as possible, offset it with some extras you may give and then you have also some margin on that. But nothing, I wouldn't say there is anything out of the ordinary that has changed in this respect.
Martijn Vlutters: Next question?
Operator: Next question is from Edoardo Gili from Green Street. Please go ahead. Your line is open.
Edoardo Gili: Good morning everyone. Thank you so much for the presentation. Maybe a follow-up on the previous question around tenant incentives, especially over the past couple of months. If you had a bit more color around how it differs per country and maybe even per market, it would be very interesting to know?
Jan Van Geet: Eduardo, I'm going to ask – I'm going to answer a little bit different, if I may. For us, the European market is one market, and we have everywhere the same approach. So there is no main differences between Eastern or Western Europe or Southern Europe and Northern Europe. It's everywhere the same approach, and we have the same teams in place, which are the same negotiations everywhere. The big advantage which we are having towards the existing stock or towards some of our competitors, which have bought land very expensive is that we have a land bank through which we have been very careful, which we have bought very well and that we have a very good control over our construction prices today. So we can be very aggressive in our just headline rent while still making a very nice profit. And having a very good headline rent and making a profit is a very big incentive to the tenant because, of course, we want to have indexations and be prepared. But if you index from a rental level, which starts with 40 or with 50 with a lot of rent-free, it makes a big difference also for the tenant. So I think we have a competitive advantage in that point that we've been very careful. I've been very restrictive on developments which were speculative and which were constructed far too high. I've been saying this already for the last three years consequently at every meeting which I've had with you. And we see today that we are in a very good position to offer really very nice headline rents, which are probably a little bit below market or we don't need to be also crazy, but we are – we can be below market and still make a very nice profit, you have seen that in our numbers, and make our tenants happy, and that's how we do it.
Operator: Thank you. Well, we'll now move to our next question from Francesca Ferragina from ING. Please go ahead.
Francesca Ferragina: Hello. Good morning everybody and many thanks for taking my question. You talked about a very favorable construction environment during 2024. How 2025 has started? And what are your expectations going forward? Can you make a comment about development margin, for example? Thank you.
Jan Van Geet: Yes. It's a good question. In the middle of 2024, I thought that we were bottoming out with the construction prices, but we've seen a further decline actually since. I don't know if you know, but VGP is not using general contractors at all anymore in any of the countries now. We are everywhere splitting up our construction in all of its separate unities, and we are helping each other also a lot cross-border in trying to find the right suppliers and the right materials to be able to optimize our construction cost. And if we look at the efforts which we are doing today, and we are taking a look at it very intensively, we still see further decline in the construction price. So at the moment, we're very confident on our construction prices. I think we are very near to the bottom. We see that some of the contractors are actually struggling today because there is not enough work for them in the market. So they really need to – it is time that it picks up a little bit for some of them. But for us, of course, that's an opportunity still. We're not trying to kill anybody, but we are trying to be aggressive, yes, and to maintain our construction price at very attractive levels for us while still being fair to everybody. That's a bit our approach and how we do it. And it's the long-term relationship which we have ensures that today we have a very competitive construction price in place in all the countries. There is no more country where we have an issue.
Operator: Thank you. We will now move to our next question from Thomas Rothaeusler from Deutsche Bank. Please go ahead.
Thomas Rothaeusler: Good morning. One question on occupancy and lease expiries. I mean, what is your outlook on occupancy for this year? And are there any larger maturities next, let's say, next two years we should be aware of? And what is your expectation regarding retention rate and rent reversion?
Jan Van Geet: Yes. Hello, Thomas. For this year, we have very little – I think we only have 3% of the portfolio, which comes to be renewed. We have a very close relationship with all of our tenants. So we're on top of that. We don't have any issues for this year in our portfolio looking forward. We have discussed this. We have really – we are – we do quarterly management meetings. So this is very much followed up. We also don't use too much of external people to manage our portfolio. We do it really internally. So also our commercial teams, which are doing the new leases, they also do the old leases and the reletting of it. And we see what is happening now is when we have a fallout in the parks that the existing tenants, we always find somebody who wants to expand. So at the moment, we are near to 99% leasing again. We don't foresee that to deteriorate in any way. There is nothing in the pipeline, which I could say to you, honestly, it's an issue and we're maybe going to have bigger vacancy. I don't see that. For next year, we have more renewals on coming. But also there, we have a very good relationship with the people, which are inside of our buildings. And we don't expect or we cannot foresee at today that there is any deteriorating going to come in our occupancy rate immediately. So as far as we can tell, as far as we can see, unless accidents happen, but there is actually nothing in the pipeline. Unless accidents happen, we think that we will be in the range of occupancy where we are today.
Operator: Thank you. We will now move to our next question from Paul May from Barclays. Please go ahead.
Paul May: Hi guys. Just a quick one from me. Just looking at the numbers of development starts, I think in Q4 2024, it's one of the lowest you've ever started and it might actually be the lowest, but I'm not sure about 30-odd thousand square meters. I'm not sure if that's right. Do you expect this to improve over the coming quarters? And I think previously you've given a target or a guide for development in the following year. I might be wrong on that, but just wondered if you do have a target for 2025. Apologies for the two questions.
Jan Van Geet: Hi, Paul, we do have a target for 2025, which I'm not going to say publicly what it is because my people, they are always very, very enthusiastic about what they're going to do. And then I try to manage that carefully. So we don't have too many vacant square meters under construction because then again you will say that we have an issue and we can't lease our buildings out anymore. I don't think you can take a look at – taking – look at it on a quarter quarter-by-quarter basis, we are not a bakery. We are not making breads. So it's never a linear line which you need to take a look at. Everything is in – it's all following land being available, permits being in place, things getting ready to be started up. Sometimes you have a little bit of delay in that. It's managing your vacancies which you have or your prelets on the development. We wanted to be really very nicely prelet at the year-end also to show that in our numbers that we are really able to do that. We have quite a number of new inquiries and running and which we are going to be able to prelet. We have quite a bit of plans to be started up in the next six months. So I think that we – with what we have in the pipeline, my expectation is that we will be able to fulfill what we've always said and that we will be able to manage to start up at least 600,000 square meters in 2025. I think that is a comfortable feeling which I have with it, even though my teams expect to do more, that is, I think, what we should be looking at as a number which we feel very comfortable with. I hope that answered your questions.
Operator: Thank you. And we will now take our last question today from Ventsi Iliev from Kempen. Please go ahead.
Ventsi Iliev: Hi, good morning. Thanks for the presentation. First sorry, I have two questions, but the second one is a really short one. First one, on the prelet ratio, I see you added a new definition. But if I look at the old definition, then I see that it hasn't really improved despite the smaller pipeline. And you've also delivered some vacant space. Could you elaborate a bit more on that? And what are your expectations going forward? Then second one, on the UK, what is the rationale to enter the UK? And is this a fully spec land acquisition? Or does it come with lease commitment? Thank you.
Jan Van Geet: I don't concur with your view that our development pipeline hasn't improved. It cannot have then improved. If you look at the number of lettings which we did during the year 2024, there is a clear correlation between signing €70 million of new lease agreements or €91.6 million in total and your occupational rate of the things which you have under construction that is..
Piet Van Geet: If I may add?
Jan Van Geet: Yes. I'm sorry, I was going to [indiscernible].
Piet Van Geet: No, I think if you look into our different – so there are two aspects. You have the prelet on the assets which are under construction, which is the 780,000 square meters at the year-end. They are 74% prelet. In the previous, I think it was 72%. And even I think before it was 69% or something. So over the year, we are clearly stepping up this prelet and increasing it. But then obviously, there is 135,000 square meters leased, partly buildings fully leased, partly part of buildings that are leased that we will start up in the next foreseeable future. And basically, we have also leased out this space. If you add that together, then 780,000 plus 135,000, which is 135,000, which is 95% prelet, then you come to in fact that what you have leased out today and what you need and what you're committed to construct, whether it's now already under construction or as development land in our books, that is in fact 80% prelet, and that is also up from, I think, 78% from the last publication that we have made. So you will see a correlation or you will see this confirmation throughout the different press releases. On the question of the UK, I will give it back to my brother.
Jan Van Geet: On the UK, we think it's the right time to enter the market. We have done a very nice transaction with a local developer who had prepared for a couple of years a very nice development scheme for which he has indeed a very interested party. There is no agreement signed. But there is a very interested party to sign on. The advantage is that we can break ground immediately. It has his permit just now. It received the permit just before the end of the year. And I think that we have bought it at, for us, interesting, very interesting terms. It's a nice entrance into the country, and there are some other very nice opportunities coming on. So we'll take it slowly, but steadily, like we always did, one after the other, and you'll see how it goes.
Martijn Vlutters: And Vince, just to add, the fact that there is interest for that site that we already are aware of is a bonus for us when we acquire land. We buy it for the intrinsic value of that location, not because we know there is someone who wants to occupy this location. It's really the intrinsic value of the land. The location itself needs to speak for itself and then the leasing typically will come afterwards.
Jan Van Geet: It's in the East Midlands, very close to the airport. So it's a very nice location. Thank you.
Ventsi Iliev: Thank you.
Piet Van Geet: Thank you very much.
Martijn Vlutters: Thank you very much. Speak soon.
Jan Van Geet: Bye-bye.
Operator: This concludes today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.